Operator: Thank you for standing by. My name is Jordan, and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Corporation Third Quarter Fiscal Year 2026 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. And if you would like to withdraw your question, press star one again. Thank you. I would now like to turn the call over to Wushuang Ma, Vice President and Treasurer. You may begin. Good evening, and thank you for joining us.
Wushuang Ma: With me today are Preston Wigner, our Chairman, President, and CEO, and Johan Kroner, our Chief Financial Officer. During the course of this call, we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future. These are representative as of today only. Actual results, performance, or achievements could differ materially from anticipated results, prospects, performance, or achievements expressed or implied in such forward-looking statements. We assume no obligation to update any forward-looking statements except as required by law. For information on some of the risks and uncertainties related to these forward-looking statements, please refer to the reports we file with the ICC and under cautionary statements regarding forward-looking statements in our current earnings press release. Finally, some of the information we have for you today may be based on unaudited allocations and may be subject to reclassification. Our comments today may also include certain non-GAAP financial measures. For details regarding those measures, including reconciliation of those non-GAAP measures to the most comparable GAAP measures, please refer to our current earnings press release and other public materials. This call is being webcast live and will be available for replay on our website through May 9, 2026, and by telephone through February 23, 2026. This call is copyrighted and may not be used without our permission. Other than the reference to replay, we have not authorized or disclaimed responsibility for any recording, replay, or distribution of any transcription of this call. I would like to now turn the call over to Preston. Good evening, everyone. Thank you for joining us today.
Preston Wigner: Fiscal year 2025 was an extraordinary year for Universal Corporation. We are following that year with solid performance to the end of our 2026. I am proud of our company's dedication and commitment to delivering results for all our stakeholders. During the third quarter of our fiscal year, our team executed well and advanced the strategic priorities that support long-term value creation. I will start with our tobacco operations segment, which generated solid quarterly results in comparison to a robust third quarter last fiscal year. Customer demand remained firm for most tobacco styles following several years of undersupply. We continue to leverage our diverse global footprint, long-standing customer relationships, and deep local expertise to optimize results as the market transitions into an oversupply environment. Turning to the ingredients operations segment, we continue to advance our strategy in order to build durable commercial and operational fundamentals that support sustained growth. Sales revenue for our value-added products has started to make up a significant portion of our overall ingredients revenue. However, our segment results reflect higher fixed costs from the significant investments we made, which have compressed margins. Additionally, market headwinds, such as the broader softness in the consumer packaged goods sector, weighed on our business, directly and indirectly, and tariff impacts were more pronounced during this quarter. These headwinds reinforce the importance of our disciplined and deliberate approach to investing in the resources and capabilities needed to provide resiliency and grow our ingredients business for the long term. While our global commercial and operational teams focused on delivering strong results, we also took several meaningful steps to strengthen our company and position ourselves for the future. We refinanced, upsized, and improved our corporate credit facility, which significantly expanded our liquidity and improved financial flexibility. And earlier today, we were excited to announce the appointment of our new CFO, Steven F. Deal, effective April 1. Steve brings strong financial, business, and strategic expertise to his new role, and I look forward to working closely with him to advance our company's strategies and deliver value to our stakeholders. I will now turn the call over to Johan to review our financial and operational performance in more detail, after which I will share a few additional thoughts.
Johan Kroner: Thank you, Preston. Good evening, everyone. For the nine months ended December 31, 2025, consolidated revenue was $2.21 billion compared to $2.25 billion in the prior year period. Operating income was $183.4 million versus $190 million for the same period last year. Net income was $75.9 million versus $85.7 million for the same period last year. In our tobacco operations segment, revenue was $1.94 billion compared to $2 billion in the prior year period. Segment operating income was $185 million versus $194.4 million for the same period last year. In our Ingredients Operations segment, revenue was $265.2 million compared to $249 million in the prior year period. Segment operating income was $1.4 million compared to $7.9 million for the same period last year. For the 2026, consolidated revenue was $861.3 million compared to $937.2 million in the same quarter of last year. Operating income was $82 million versus $104.1 million for the third quarter of last fiscal year. Net income was $33.2 million versus $59.6 million for the third quarter of last fiscal year.
Johan Kroner: In our Tobacco Operations segment, revenue was $779.9 million compared to $853.9 million in the same quarter of last year. Segment operating income was $84 million versus $102.6 million for the third quarter of last fiscal year. In our Ingredients operating segment, revenue was $81.3 million compared to $83.3 million in the third quarter last year. Segment operating loss was $100,000 compared to segment operating income of $3.7 million in the third quarter of last fiscal year. Turning to liquidity and capital structure. During the quarter, with strong support from our existing and new banking partners, we refinanced our senior unsecured credit facility and upsized the facility by $250 million. The new facility significantly expands our available liquidity, lowers our borrowing cost, enhances our financial flexibility, and positions us well to advance our long-term strategic priorities. As of December 31, 2025, our net debt was $995 million compared to $945 million at the same point last year. Our liquidity availability, which includes cash and availability under our committed and uncommitted credit lines, totaled $917 million. I will now turn the conversation back to Preston.
Preston Wigner: Thank you, Johan. We are pleased with our solid results through the first March of the fiscal year. As anticipated, the leaf tobacco market is moving into an oversupply environment. Managing evolving market dynamics is an area where Universal Corporation has demonstrated consistent strength for more than one hundred years. We are proud of our resilience and our ability to deliver strong performance under all market conditions. Our long history of tobacco leadership motivates us to build and grow Universal Ingredients to support our long-term success. Back in 2018, we made the decision and developed a strategy to diversify into food and beverage ingredients. As part of that strategy, we made three acquisitions in 2020 and 2021 to gain a broad product portfolio, established customer relationships, and experienced management teams. These moves created Universal Ingredients and established the foundation for a scalable, differentiated platform capable of delivering and offering new innovative solutions-based products to our customers. To support that strategy, we invested in building commercial sales, R&D, and product development capabilities, and in adding industry-leading production capabilities. These investments culminated in the completion of our Lancaster, Pennsylvania facility expansion, just over a year ago. Since completing the expansion, our focus has been on leveraging these new resources and capabilities to grow Universal Ingredients and convert customer interest into sales. We are excited about the progress we have made since those early days in 2018. We continue to navigate inflationary pressures and the impact of tariff headwinds. We are focused on increasing sales to absorb fixed costs from our growth investments in Universal Ingredients. We are encouraged by the continued steady interest in our enhanced capabilities and the growing breadth of our solutions-based product portfolio. We are committed to continuing the progress we have made to date and scaling the platform to support stronger earnings, improve resilience, and enhance margins. Before we conclude today's discussion, I want to highlight our continued progress in advancing our sustainability priorities. We recently released our annual sustainability report, which highlights significant progress across our environmental and social commitments. Notably, we increased renewable electricity consumption nearly sixfold year over year, with approximately 17.7% of our global electricity sourced from renewable energy. These actions support our approved science-based emissions targets and our commitment to achieve net zero greenhouse gas emissions across the value chain by 2050. We also further demonstrated our support for farming communities globally, advancing our good agricultural practices and agricultural labor practices programs to maintain momentum across our social responsibility and farmer sustainability initiatives. Our disciplined execution and clear strategic focus provide a strong foundation as we move into the final quarter of the fiscal year. We are confident in our ability to execute on our strategy and continue creating long-term value for our stakeholders. Thank you again for joining us today. We will now open the call for questions.
Operator: As a reminder, if you would like to ask a question, press 1 on your telephone keypad. Your first question comes from the line of Daniel Scott Harriman from Sidoti. Your line is live.
Daniel Scott Harriman: Thank you. Good afternoon, guys. Thank you so much for taking my questions. I will start this afternoon with ingredients. And with the mention of the tariffs and, obviously, the overall market weakness within consumer packaged goods, I was hoping you could help us understand how those issues are affecting both the traditional business within ingredients and then also the newer solutions-based offerings. And then in tobacco, you know, you called out fiscal 2025. And while sales were down in the quarter, that is not necessarily a fair comparison considering the supply backdrop last year, and margins have been holding up pretty well. So given that last year was a high watermark for the segment, how do you view the underlying performance of the tobacco segment this quarter considering solid sales and the, like I said, the maintained margins?
Preston Wigner: Yeah, Daniel. I will start with ingredients. So last year, the third quarter was a good quarter for ingredients. We had revenues and volume both up over the prior year's quarter. And this year, we have been impacted by market headwinds, product mix, and the higher fixed costs. Now I will talk about all three. So on those market headwinds, which are affecting the industry and not just the sectors where our customers are, there is weakness in that consumer packaged goods sector and other food and beverage sectors. And those inflationary pressures are putting pressures on the consumer goods prices and therefore, from those customers, pressures on us on our pricing, and compressing our margins, as well as tightening demand. As their sales might decrease, then their orders from us will decrease. If it impacts them, it will impact us. And we have seen that, maybe in particular, with sales this quarter of our sort of traditional core products. On the tariff side, we have talked about this a little bit in the past. We have had direct tariff impacts. We have had indirect tariff impacts. Those impacts were just a little more pronounced this quarter than in the first half. On a direct tariff impacts, we have got tariff costs that are impacting the cost of the product that we import into the US and incorporate into the products that we sell. And so we have got tariff costs in those raw materials that having difficulty this past quarter capturing all of that in our sales to our customers. And then on the indirect impact, our customers have tariff impacts, which are impacting the sale of their products. Those tariffs might be impacting components of their products or packaging of their products, which has decreased their sales. And again, if their sales are decreasing, then potentially their orders to us are decreasing. On the product mix side, we had just a different mix of products with little higher margins in the third quarter last year than we did this year. Some of those could be attributed, for example, to customer ordering based on forecasts of how they think their products were going to perform last year. So they might have ordered higher margin products from us last year ramping up for their sales into the market. And if those sales did not turn out the way they had forecasted, then potentially this quarter, they would have had fewer of those sales or different products that they would be ordering from us with slightly different margins. So it is a little bit of a margin mix. And then lastly, on the higher fixed costs, we have been talking about that for a while. We are still focused on scaling the business to absorb the costs and the investments we have made to grow the ingredients business, including the expansion of our capabilities of the Lancaster extracts facility. We continue to try to absorb those costs, which are impacting our margins and impacting our earnings. So we are positioned to offer innovative solutions-based products to our customers. And our sales are up 7% year to date, versus last year, despite this challenging market. And our goal is to maintain that momentum. Sales of our new products have contributed to our increased sales, and we are focused on continuing to increase those sales and increase new and existing customer interest in Universal Ingredients. We continue to add to our active product development pipeline that leverages our broad product portfolio across the full Universal Ingredients foundation. And we think those capabilities and the products that we offer can help our customers deliver new or improved or unique products to navigate the existing headwinds that are impacting them. So our focus on the ingredient side every single day is to convert that customer interest and the product portfolio into increased sales and volume across the factory floor. So I am really encouraged by the dedication of the team who is putting in the hard work on a daily basis. I am really pleased with the progress that we have made and how far we have come since our early days of 2018. So on the tobacco side, as you mentioned, this has been a solid quarter and year to date for our tobacco business. Last year was an extraordinary year for us, and last year's third quarter was really robust. We had very strong demand in the undersupply market last year. We moved a lot of tobacco in the third quarter, including accelerated shipments in the third quarter. And pricing both for our farmer pricing, green pricing, as well as our sales prices, were high, resulting in high dollar margins. And we also shipped more of certain higher margin dark tobaccos last third quarter, which supported the high operating margin last third quarter. You know, this year, year to date, our tobacco segment revenues and operating income were only down slightly from last year's extraordinary results. Quarter to quarter, tobacco segment revenues and operating income are good, except in comparison to such a big third quarter last year. Last year's year to date in third quarter numbers were the highest that we have seen in a number of years. And just looking at the last four years for us, which were all solid years, our current year to date tobacco numbers are the second highest during that period. And our third quarter tobacco segment revenues were second highest, our tobacco segment operating income is within $4 million of being second highest for that period. So last year cast a big shadow, but we are still performing well this year and this quarter. This year's large crops, especially in Brazil and Africa, and still firm customer demand have given us opportunities to keep up with last year's sales. And we have also increased our third-party processing based on the size of those crops. But pricing is down slightly from last year, and we have had additional write-downs in certain dark air-cured tobacco that impacted results. And the comparative mix of products, which I just mentioned a second ago, that we sold this quarter, third quarter versus last year's third quarter also had an impact, with some higher margin styles shipped at higher volumes last third quarter versus this third quarter. And then there is also some shipment timing impacts to the quarter to quarter comparison. So we have leveraged our tobacco expertise, our diversified footprint, and our strong customer relationships to navigate what has been a really complex year. And we are moving from undersupply to oversupply. And with all of that, I am really proud of the job we have done around the world to deliver the results we have delivered and to support all of our stakeholders.
Daniel Scott Harriman: That is really helpful, Preston. Thanks so much, and best of luck for the rest of the year.
Johan Kroner: Thank you, Dan.
Operator: Your next question comes from the line of Ann Gurkin from Davenport. Your line is live.
Ann Gurkin: Good evening, everybody. Hi, Ann. I would love to pick up with the conversation around the tobacco segment. Do you think you would be able to exit fiscal '26 with margins relatively in line with what you delivered in fiscal 2025? I thought Q3 was better than I would have expected, and it is very impressive. So I was just curious if you can give me any kind of direction as to the full year tobacco segment margin.
Preston Wigner: Yeah. I would say, you know, we are still working hard on the quarter. We have got some tobacco to ship. Some of that tobacco is higher margin tobacco that may have otherwise shipped in the third quarter. It is really going to come down to mix and to timing of shipments. Yeah. Can we get all that tobacco out in the fourth quarter?
Ann Gurkin: Okay. And any comments on the customer's inventory level or duration positions? With your key customers? Any comments, any insight you can share there?
Preston Wigner: Yeah. We are in near constant communication with the customers. And I think with customers, it is a little bit of a mix. You know, some of those customers last year and into this year, they have been buying what they need and maybe restoring some of their durations. And looking at their duration policies. Some still have lower durations and you know, they will decide in the upcoming years whether they will return to those historically high duration levels or try to maintain a tighter duration and assume some of that risk as we go into oversupply.
Ann Gurkin: Okay. And then do you have a worldwide uncommitted lease inventory number?
Johan Kroner: Yep. So estimated unsold, secured, and burly stock was about 102 million kilos at December 31, 2025. It is about the same as it was on September 30, 2025.
Ann Gurkin: Right. Switching over to the ingredient segment, I would be curious what your biggest surprise was from the Q3 results versus Q2 on a sequential basis.
Preston Wigner: You know, I think the market headwinds and the impacts and the length of those impacts we have seen in the third quarter on our customers, I think that has had a bigger impact than maybe I would have thought a year ago. We are hearing and we are seeing lots of customers trying to keep up sales, trying to keep up volumes and their own margins and results through the third quarter. But, you know, that will be cyclical, and we will continue to perform, continue to get in front of our customers, and get our products sold. But I would say that is to me, that is probably the biggest surprise.
Ann Gurkin: Okay. And if you break out the revenue component, can you break it out in volume, price, and new customer wins?
Preston Wigner: No. We do not have that breakdown for public disclosure. It is and it is also a little bit of mix, you know, the mix this quarter versus
Ann Gurkin: Okay.
Preston Wigner: Same quarter last year.
Ann Gurkin: Anticipate in the next several quarters pricing catching up with the higher tariff costs or input costs?
Preston Wigner: I think we are optimistic with continuing sales that maybe the higher cost inventory we have that is carrying those additional tariffs, we can get that through the system in the coming quarters. And then get that behind us, that will certainly help.
Ann Gurkin: Okay. And then can you quantify the amount of inventory write-down in the ingredients that occurred in the quarter?
Johan Kroner: We had some, Ann, but that is, like, standard, you know, the methodology that we use. We just looked at some of the at the end of the quarter and determined whether or not the net realizable value was below the cost. So we took a little bit, but it was primarily in the dark air-cured space where we had to take some write-downs.
Ann Gurkin: So it is more write-down in the tobacco space than it was in the ingredient space?
Johan Kroner: Oh, yes. Yes.
Ann Gurkin: Okay. Okay. And then I am just curious. With the CFO announcement, congratulations, but I think you put out a press release in January of a CFO, and then now you have another announcement today. I am just kind of curious if you can walk me through what is going on.
Preston Wigner: Yeah. We filed an 8-K announcing that we withdrew our offer from Mr. Mattel to become our CFO, and our 8-K really speaks for itself. Instead, we were thrilled to have our press release this morning. And Steve cannot wait to join these calls and talk to you.
Ann Gurkin: I cannot. That is great. Preston, I also want to tell you how much I enjoyed your presentation at ICR. I am so glad you all participated in that conference.
Preston Wigner: Oh, good. Thank you. Terrific presentation. I have a couple of questions if I can still ask questions.
Ann Gurkin: Alright. In relation to that presentation, you talked about participating in the next generation supply chain for tobacco companies. Can you just flush that statement out a little bit for me?
Preston Wigner: Yeah. As part of our strategy, we want to make sure that we have opportunities to participate in some way in that supply chain. Some of that we do today. So if they have got tobacco-based products, like heat-not-burn, for those customers, we want to make sure that that tobacco is coming from us. And then as they develop and expand other products, we want to have opportunities to be part of that supply chain for that as well. Whether it is liquid nicotine or going forward with our Universal Ingredients abilities with flavors. So all of that, we would like to have that as part of our strategy, part of our growth going forward.
Ann Gurkin: Okay. Great. And then you talked about investing in commercial sales and the platform and opportunities to cross-sell across the two segments. I was wondering if you can get an update on your ability to leverage that investment. And are you recognizing, realizing wins or cross-selling successes? Any kind of update there.
Preston Wigner: I think that cross-selling referred to products within the Universal Ingredients platform, I think. And that is a big part of what we are doing in terms of building that active pipeline, getting those commercial sales teams in front of existing customers selling new products, in front of new customers, selling new products, getting those in the pipeline, back through. And we do not have them broken out separately, but that is a big part of the increased sales and also on the flavor side as well.
Ann Gurkin: Okay. Great. And then just one more question. What tax rate should I use for the year?
Johan Kroner: It is a good question, Ann. As you could see in the filings, it ticked up a little bit. We had some a hard look at our taxes. There were some taxes implemented in certain countries by law that had an impact on this. So, you know, like I said before, you know, it is normally between 28-32%. We have been below that in the last couple of years, but we are ticking up slightly because of some of these changes. And, of course, it depends on the mix. Where do we make it? And the currency it is earned in. So all those things come into play in the next quarter.
Ann Gurkin: Okay. That is great. Thank you all very much for your time. I appreciate it.
Johan Kroner: Thank you. Thanks, Ann.
Operator: There are no further questions for the question and answer session. I would like to turn the call over to Preston Wigner for closing remarks.
Preston Wigner: Thanks, Jordan. Thank you for taking the time to join us today. We look forward to connecting again on our next earnings call.
Operator: That concludes today's meeting. You may now disconnect. Have a great day.